Operator: Good afternoon, and welcome to the Ross Stores Third Quarter 2016 Earnings Release Conference Call. [Operator Instructions] 
 Before we get started, on behalf of Ross Stores, I would like to note that the comments made on this call will contain forward-looking statements regarding expectations about future growth and financial results, including sales and earnings forecasts and other matters that are based on the company's current forecast of aspects of its future business. These forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from historical performance or current expectations. Risk factors are included in today's press release and the company's fiscal 2015 Form 10-K and fiscal 2016 Form 10-Q and 8-Ks on file with the SEC. 
 Now I'd like to turn the call over to Barbara Rentler, Chief Executive Officer. 
Barbara Rentler: Good afternoon. Joining me on our call today are Michael Balmuth, Executive Chairman; Michael O'Sullivan, President and Chief Operating Officer; Gary Cribb, Executive Vice President, Stores and Loss Prevention; John Call, Executive Vice President, Finance and Legal; Michael Hartshorn, Group Senior Vice President and Chief Financial Officer; And Connie Kao, Vice President of Investor Relations. We will begin our call today with a review of our third quarter performance followed by our outlook for the fourth quarter, after which we'll be happy to respond to any questions you may have. 
 As noted in today's press release, we are very pleased with our better-than-expected sales and earnings growth in the third quarter as customers responded favorably to the compelling values we offer throughout our stores. 
 Earnings per share for the period were $0.62, up 17% on top of a robust 15% increase in the prior year. Net earnings grew to $245 million compared to $216 million last year. These earnings results include a benefit of about $0.01 per share from favorable timing of expenses that are expected to reverse in the fourth quarter. 
 Sales for the third quarter rose 11% to $3.1 billion, with comparable stores sales up 7% versus a 3% gain last year. Operating margin was above plan, growing 55 basis points to 12.6%, driven mainly by higher merchandise margins. 
 For the first 9 months of fiscal 2016, earnings per share were $2.06, up 11% on top of 15% increase in the prior year. Net earnings were $817 million, up from $757 million last year. 
 Sales year-to-date rose 8% to $9.4 billion, with comparable store sales up 4% on top of a 4% gain in 2015.
 dd's DISCOUNTS continued the year-to-date trend with strong performance in the third quarter. California was the strongest region during the period while shoes was the best-performing category at Ross. 
 Our ladies' apparel business also continued to strengthen as shoppers responded to our improved merchandise assortment. As we ended the third quarter, total consolidated inventories were up 4% compared to the prior year, with average in-store inventories down slightly. 
 Packaway as a percent of total inventories was 45% compared to 48% at this time last year. 
 As planned, we completed our 2016 store opening programs during the third quarter, with the addition of 25 new Ross and 9 dd's DISCOUNTS. 
 We expect to end fiscal 2016 with 1,338 Ross and 192 dd's DISCOUNTS, an increase of 84 locations for the year. 
 Now Michael Hartshorn will provide further color on our third quarter results and details on our guidance for the fourth quarter and fiscal year. 
Michael Hartshorn: Thank you, Barbara. Let's start with our third quarter results. Our 7% comparable store sales gain was driven by increases in both traffic and the size of the average basket. 
 As Barbara mentioned, third quarter operating margin was better than planned, increasing 55 basis points from last year to 12.6%. Cost of goods sold improved by 50 basis points, driven by 50 basis points in higher merchandise margin combined with a 20 basis point decline in occupancy costs. This was partially offset by an increase of 20 basis points in buying expenses. 
 Selling, general and administrative expenses during the period improved by 5 basis points as leverage on the 7% increase in comparable store sales was partially offset by higher wages and certain other nonrecurring costs. 
 During the quarter, we repurchased 2.8 million shares of common stock for a total purchase price of $179 million. 
 Year-to-date, we have bought back a total of 9.1 million shares for an aggregate price of $530 million. 
 We remain on track to spend a total of $700 million for the year to complete the 2-year, $1.4 billion stock repurchase program approved by our Board of Directors in February 2015. 
 Let's turn now to our fourth quarter outlook. While we hope to do better, we are maintaining our same-store sales guidance for a 1% to 2% increase. This range is on top of strong 6% and 4% gains in 2014 and 2015, respectively. We expect earnings per share for the 2016 fourth quarter to be $0.72 to $0.75, which reflects the impact from the previously mentioned expense timing that benefited the third quarter. 
 This updated range compares to earnings per share of $0.66 last year. 
 The operating statement assumptions for the fourth quarter include the following: total sales are projected to grow 4% to 5%; operating margin is forecast to be 13.2% to 13.4% versus 12.7% in the prior year as we anniversary higher packaway costs that negatively impacted last year's fourth quarter. Net interest expense is estimated to be about $4 million. Our tax rate is planned at approximately 36% to 37%, and we expect average diluted shares outstanding to be about 392 million. 
 Based on our year-to-date results, along with this fourth quarter forecast, we are now projecting earnings per share for the full year to increase 11% to 12% to $2.78 to $2.81 on top of a 14% gain in fiscal 2015. 
 Now I'll turn the call back to Barbara for closing comments. 
Barbara Rentler: Thank you, Michael. Again, we are very happy with our third quarter sales and earnings that were well ahead of our expectations. As Michael just mentioned, we faced our most challenging multi-year comparisons this holiday season. There is an ongoing uncertainty in the macroeconomic, political and retail environments that could, once again, lead to a very promotional fourth quarter. 
 Despite these potential headwinds, we believe we are competitively positioned for the fourth quarter as our merchants have done a terrific job of acquiring a wide array of exciting and sharply priced name-brand fashions and gifts to appeal to today's value-driven holiday shoppers. 
 To sum up, we see consumers' increased focus on value continuing for the foreseeable future. This, along with a solid execution of our short- and long-term strategies, makes us optimistic about our prospects for continued growth in sales and earnings. 
 At this point, we'd like to open up the call and respond to any questions you might have. 
Operator: [Operator Instructions] Your first question is from Paul Lejuez from Citi. 
Paul Lejuez: Can you remind us of what your merchandise margin typically looks like on packaway merchandise compared to your normal in-season buys? And has there been anything in the quality of packaways you've seen over the past few quarters that's changed that relationship at all? 
Michael Hartshorn: From a margin perspective, Paul, the margin on packaways is very similar to flow of merchandise or direct store merchandise. To us, it's the best value for the customer. 
Paul Lejuez: And consistent? 
Michael O'Sullivan: Yes, it's been consistent over time, Paul. So no real change over the past several quarters. 
Paul Lejuez: Got you. And then just one follow-up. It looks like D&A growth slowed substantially. Can you talk about what might be going on, on that line? 
Michael Hartshorn: So on G&A, we -- obviously, the 7% comp, we were 5 basis points lower partly driven by... 
Paul Lejuez: D&A, I'm sorry, Michael [indiscernible] 
Michael Hartshorn: Yes. Sorry, as I said, G&A. So on capital spending, we're forecasting for the year about $315 million in capital, which is lower than we projected at the beginning of the year due to delays in corporate office and supply chain projects that we expect to push into next year. 
Paul Lejuez: Any initial thoughts on the CapEx budget for next year? 
Michael Hartshorn: Expectation at this point would be around $400 million, similar to how we started this year. 
Operator: The next question is from Lindsay Drucker Mann from Goldman Sachs. 
Lindsay Mann: I was hoping to dig in a little bit on the drivers in D&A. I think that you mentioned some nonrecurring costs that happened in SG&A in the quarter, but also some timing benefits that happened in the third quarter? So could you just add a little more color there? 
Michael Hartshorn: Sure, so I'll break the timing in the quarter. The timing in the quarter was actually gross margin component. Packaway ended a little higher than we had in our current original expectations when we entered the quarter, so that timing moved from Q3 to Q4, which is why the Q4 guidance came down by about $0.01. In terms of G&A, we ended up 5 basis points better. We would have expected more leverage on the 7% comp. That was driven by higher wages and, as we mentioned on the call, onetime nonrecurring expenses. 
Lindsay Mann: Okay. And your inventories per store were actually down despite a really strong comp. I was wondering if you could talk about -- we've seen inventories down significantly, the number of department stores. How would you characterize the buying environment or the availability of product? And also, the driver of your own inventory reductions per store with a strong comp? 
Michael O'Sullivan: Lindsay, I'll separate that into 2 pieces. First of all, just the availability, and I'll let Barbara comment on that in a moment. But in terms of the inventory in our stores, that's driven by our own plans. We tend to plan our inventories with some discipline just to make sure that we can drive turns that the sales trend is strong. So even though, obviously, our sales trend was very strong in Q3, we've kept our inventories in line as we go into Q4. I'll let Barbara comment in terms of the availability of merchandise. 
Barbara Rentler: In terms of availability, it's pretty broad-based and spread through all the markets. There's been, obviously, a lot of availability despite the fact that department stores have kept their inventory bases in line. There is definitely more goods out in the market at this moment. 
Operator: Your next question is from Adrienne Yih from Wolfe Research. 
Adrienne Yih-Tennant: My question was on the resolution of the spring product issue. It seems like that's clearly behind. But I was wondering if there was any impact to whatsoever into the third quarter. And then how much chase or open-to-buy do you actually still have available to get to a higher comp, similar to what you did in the third quarter? 
Barbara Rentler: In terms of impact to spring product? Just to clarify, the spring product going into the third quarter? 
Adrienne Yih-Tennant: Sorry, the spring product issue that was from Q1. 
Barbara Rentler: Just the issue itself, a hangover effect? We did not have a hangover effect. 
Adrienne Yih-Tennant: Yes, the hangover effect, exactly. 
Barbara Rentler: Okay. So we did not have a hangover effect in terms of product moving into the third quarter. And can you just clarify the second piece of the question, again? 
Michael O'Sullivan: I think on the second piece, just to -- I think I answered that already. Our business is all about chasing sales trends, so I'll remind you, coming into Q3, our guidance was a 1 to 2 comp in Q3, and we're able to chase it up to a 7. So we feel pretty good about our ability to go out and get extra merchandise in Q4 if the sales trend is there. 
Adrienne Yih-Tennant: Okay. And then can you [indiscernible] about over levering to some of the upsize inventory that was out there? 
Michael O'Sullivan: Sorry, Adrienne, you were cutting out there. Could you just repeat the question? 
Adrienne Yih-Tennant: I'm sorry. Just on the packaway opportunity that you have, how opportunistic was the buying last year in terms of perhaps any margin upside? Does that make sense? So to the extent that you were able to buy at better-than-historic pricing, average unit cost? 
Michael O'Sullivan: Yes. I think we would expect to see a lot of margin expansion from that. What we would have done is, to the extent we're able to buy great product opportunistically and put it into the hotel, put it into packaway, when we flow it out, what we're really doing is trying to drive sales. So that's really where look for those bargains to really drive sales rather than add to our margin. 
Operator: The next question is from Omar Saad from Evercore ISI. 
Omar Saad: I wanted to ask if you could talk about how much scale the current supply chain, the distribution centers, the infrastructure you have, how much they can handle? And when do you expect, as you think out over time, the next kind of major round of investments in IT and supply chain? 
Michael O'Sullivan: Sure. So in terms of major processing facilities, major distribution centers, just as a reminder, we added a new distribution center last year, that was in 2015, and we had added one before that in 2014. So some pretty lumpy investments that we've now worked our way through. Given our current growth projections, we would expect that we would need additional major distribution capacity, probably about 4 or 5 years from now. And if you back off that, you probably start some of the capital spending 1 year or 2 below -- before that. So it's going to be a while before we have those kind of lumpy investments again. 
Omar Saad: Okay. If I could have one follow-up. In terms of the great comp number that you put out this quarter, if you think about the upside to perhaps where your expectations were 3, 6 months ago, is more of the upside coming from the packaway product or the regular flow? 
Michael O'Sullivan: It's a combination, I wouldn't call out one or the other. The truth is the upside really comes from the customer coming in and buying more product. And we've been able to get great packaway product and great flow product in order to fuel that sales trend. 
Barbara Rentler: So the merchants are chasing the sales trend as we go. 
Operator: [Operator Instructions] The next question is from Marni Shapiro from Retail Trackers. 
Marni Shapiro: So I was curious if there were any segments in the quarter that surprised you either to the upside or to the downside, be it home, personal care, juniors, other than, I believe, you called out footwear. Any other callouts? 
Barbara Rentler: I wouldn't say that, that surprised us. Our home business continued to perform well, shoes has been performing well all along, and we felt good about our assortment in ladies as we were starting to move and improve the assortment, so we did -- we were happy with that performance. I guess, that would be -- if anything, that would be a surprise is that business has been moving from quarter-to-quarter in the right direction. But overall, I wouldn't say major surprises because home and shoes have continued and have been good all year. 
Marni Shapiro: And within ladies, was it activewear, was it juniors, or was it across the board? 
Barbara Rentler: In ladies -- well, activewear is performing just fine. I would say it's really more in ladies and juniors would be at this moment in time. 
Operator: The next question is from Lorraine Hutchinson from Bank of America. 
Lorraine Maikis: Just wanted to follow up on the increase in basket size that you commented on in the prepared remarks. What was the driver of that? Was that a unit or a pricing increase? 
Michael Hartshorn: Sure, Lorraine. As we mentioned in the prepared remarks, the 7 comp was driven by higher traffic and an increase in the basket size. Traffic was slightly a larger increase than basket. The basket was all driven by higher units per transaction. AUR was relatively flat. 
Lorraine Maikis: Okay. And what do you expect for AUR trends going forward? 
Michael Hartshorn: I don't think we'd comment at this point, but it's run relatively flat all year round for us. 
Operator: The next question is from Brian Tunick from Royal Bank of Canada. 
Brian Tunick: I'm curious, I guess, for Barbara. Maybe can you talk about what categories might be the biggest opportunity you see for next year or maybe where some of your buying team is spending their time? And then, I guess, also curious on the real estate pipeline. Any initial thoughts from a planning perspective why either the store growth rate or mix could look different than what we saw this year? 
Barbara Rentler: Sure. In terms of categories for next year, we still feel very good about our home business. We feel there's a lot of opportunity that goes on in home, it's very broad-based. If we continue to execute our strategies effectively in ladies, we would be feeling positive about our ladies' business as long as we stay on track and execute appropriately. And in terms of where the merchants are spending their time, all the merchants are spending their time in the market, not just home merchants, not just in specific areas that we think we would expand for next year, all merchants are spending their time in markets, again, because there's so much availability and potential opportunities. 
Michael O'Sullivan: And, Brian, on your question about real estate and number of stores obviously, we'll be more specific when we talk about 2017 guidance in February. But I think it's fact that if you look at our store openings over the past several years, we run at typically 80 to 90 net new stores a year. I wouldn't expect a dramatic deviation from that going forward. 
Brian Tunick: And if I can just throw in just one more question. Obviously, you guys have talked about wage pressure now and some of the things you're doing to absorb it. But are there other additional opportunities, both in the supply chain on the store side that you guys are finding to offset the wage pressure? 
Michael O'Sullivan: There always are. I mean, as a company, we go through a very rigorous and detailed budget process. There's a lot of sort of expense discipline within different functions within the company. So we're always looking for new opportunities to find efficiency and drive savings. And again, we'll talk more about that when we give 2017 guidance. I mean, I would say that we feel pretty good about our ability to offset the wage increases that we've absorbed in the last couple of years. There's a limit to the degree to which we can offset those increases going forward. 
Operator: The next question is from Michael Binetti from UBS securities. 
Michael Binetti: Let me just ask you, the department stores have come up a few times, it seems like your strategy has been to reduce their inventories to try and lower their markdown cadence. If they are successful, and you guys wake up tomorrow and see the department stores kind of leading their industry to higher AURs, what -- how do you strategically think about that? Does that bring an AUR opportunity for you? Or do you guys typically look for opportunities to gather market share in that situation? 
Michael O'Sullivan: I would say we would welcome that. I think if it got less promotional, we would see that as an opportunity to gain more share and to drive sales. So specifically for us, it would be about sales rather than margin. But I think as Barbara said in her remarks, the indicators that we see, cause us to think that the fourth quarter will likely be very promotional. And so those indicators include the fact that we're seeing plenty of merchandise supply, presuming that supply was made for someone; that, secondly, when we looked at Q3 results that have been reported so far, they look relatively weak across the retail sector; and then, thirdly, as Barbara said in her remarks, the political and economic environment looks uncertain. So if you mix all those together, it suggests that the environment is likely to remain promotional rather than the other way around. 
Michael Binetti: And then if I could maybe continue on that, I feel like there's not a week that goes that we don't hear another one of the department store brand companies updating their strategy to include significantly lower inventory buys going forward, so maybe there is still some inventory out there today but in general, the off-priced channels continue to come and that inventory in the marketplace remains robust. You guys have certainly benefited from better inventory turns, but better merchandise margins over time. If the brands do follow through with that strategy and take inventory lower, it becomes a bit counterintuitive for us to keep hearing the off-priced industry in general, they're saying that we still see plentiful inventory out there. How do you think forward to if inventories do get a little bit harder to come by, how you look at approaching your business for next year? 
Michael O'Sullivan: Those are good questions. I think it all depends on what sales those departments stores are able to do and the comparison between those sales and the inventories that they've bought themselves into. I mean, right now, as I say, based upon what we're seeing in the marketplace, we see no problem with supply. 
Operator: The next question is from Laura Champine from Roe Equity Research. 
Laura Champine: I wanted to ask again about your expectations for Q4 because the comp guidance you've given does look very conservative given what you just put up in Q3. Would your expectation be in Q4 to continue to gain share within apparel? Is it conservative on apparel just generally and on retail generally? Or is there something that gives you pause about your own performance? 
Michael O'Sullivan: I think it's nothing specific to us, Laura, I think it's more about the external environment and really the things that Barbara had mentioned, that the broader political and economic environment looks uncertain. The Q3 -- the third quarter results that have been reported so far look relatively weak, and that suggests that it could get pretty promotional as retailers try and either hold onto or avoid losing share. So the combination of those 2 things makes us relatively concerned about the external environment. The only thing that's specific to us, I suppose, is the fact that we're up against our toughest year-over-year comparisons in the fourth quarter on a 2- and 3-year basis. So that's the other thing that's sort of factored into our guidance. 
Operator: The next question is from Oliver Chen from Cowen and Company. 
Oliver Chen: Congrats on the best in comps and retail. Regarding the comps and the traffic gains, what was happening with traffic with respect to how they were -- it was so impressive. Were you able to chase in the categories? And did you have to delay shipments in terms of some of the seasonal weather? Just curious about how that traffic number was so impressive. A related question is just on the merchandise margins. Is that attributable to the strong inventory control? 
Michael Hartshorn: Oliver, I'll start with the merchant margins. We obviously outperformed the high end of our comp sales targets, so that meant we had faster turns resulting in markdown leverage. We also benefited from our ability to take advantage of buying opportunities in the marketplace. So both of those factors contributed to the higher merchandise margin. 
Barbara Rentler: And in terms of chasing into the categories, again, there's been a lot of availability in the marketplace so the merchants were out in the market every day looking for opportunities, so they've been able to chase into categories that we're selling. In terms of seasonal products, we had relatively conservative seasonal plans for the Q3, and so seasonal performance has been overall fine at this point in time, and the categories go forward remains to be seen what we find out in the marketplace as we chase our way across. 
Operator: The next question is from Matthew Boss from JPMorgan. 
Matthew Boss: So just on the 7 comp, was performance pretty consistent throughout the quarter? And then just as you dig into your performance versus the choppy macro backdrop that you call out, are you seeing a broadening of the customer base, new customers shopping the store? Just the best way that you track it, I'm curious what you are seeing. 
Michael Hartshorn: In terms of trends during the quarter, Matthew, the comps were similar across all 3 months in the quarter. 
Michael O'Sullivan: And in terms of what's driving that 7% comp, it's hard for us to tell, Matthew, but it's almost certainly a combination of certainly some new customers and then some existing customers who are just shopping us more, looking for values and happy with what we're able to offer them. 
Matthew Boss: Got it. And just a follow-up on margins. For the fourth quarter, what's the best way to think about recapturing the 100 basis points related to the packaways last year? Just curious how we should think about recapture of that loss from last year. 
Michael Hartshorn: So the guidance assumes some recapture of the 100 basis points. We didn't -- we don't -- our practice is not to call out specifically in upcoming guidance, but it's part of the driver of the EPS growth in the fourth quarter. 
Operator: The next question is from Kimberly Greenberger from Morgan Stanley. 
Kimberly Greenberger: Michael, I wanted to just ask about wage inflation and SG&A leverage. It seems like the leverage point today, perhaps starting in the third quarter, sits a little bit higher because of the wage increases. So I'm wondering if you can just talk to your -- what comps you need to leverage SG&A in a normal environment. And then it seems like starting in the third quarter and continuing maybe through the first half of '17, that comp needed is a bit higher because of the incremental wages. Could you just talk us through that? 
Michael Hartshorn: Sure, Kimberly. The third quarter levered by 5 basis points on the 7% comp. As we mentioned in our comments, that was partly driven by wages, and that really hasn't changed from the first part of the year, but it was also impacted by onetime nonrecurring charges we took in the quarter. So I'd say the leverage point change in the quarter was those nonrecurring costs. At this point, we continue to believe at least in the next couple of years that the leverage point continues to be about 3%. 
Kimberly Greenberger: About 3%. Okay, great. And I'm wondering if there was any year-over-year increase in incentive compensation, either driving that 20 basis points of gross margin deleverage or in your SG&A. And then lastly, Barbara, I apologize if I didn't hear this correctly, but could you just comment on the apparel execution in the women's business? I think on the August earnings call, you had mentioned you'd made a great deal of progress in the second quarter, but you weren't entirely happy yet. I'm just wondering if you can just update us on the progress there. 
Michael Hartshorn: Kimberly, on the incentive cost, yes on both gross margin and SG&A. In our notes, we mentioned that buying expenses were 20 basis points higher than last year, and that was mainly from higher incentive costs given the outperformance during the quarter. 
Barbara Rentler: And, Kimberly, in terms of the ladies' business, we do feel like we're making progress. We are moving in the right direction, and we are expecting as long as we execute effectively where we have some real major execution issues in Q1, that we're going to continue to see a strengthening in the business. So it's month-to-month improving business by business, but we do feel like we've made progress, and we do feel like we're on track as long as we continue to execute appropriately. 
Operator: The next question is from Ike Boruchow from Wells Fargo. 
Irwin Boruchow: Michael, just a quick one on wages. Can your remind, as much as you shared this, what kind of EPS headwind wage inflation has been or do you project will be for you guys this year? And then just, not asking for guidance, but just simplistically when we think about next year, does that headwind -- is it similar, does it lessen, or does it increase? 
Michael Hartshorn: So Ike, we obviously haven't called out the impact of wages because we've been able to offset the impact today. Obviously, we're working through our -- finalizing our 2017 budget and we'll be in a better position at the end of the year when we give our guidance for 2017 on the potential impact. 
Operator: The next question is from Bob Drbul from Guggenheim. 
Robert Drbul: I just had 2 questions. The first one is regionally, you called out California, I was just wondering if there are any other callouts? Specifically, the Midwest has been pretty consistent for you guys, how you're doing in the Midwest. And then the second question would be -- I know it's early, a lot of subjectiveness to this, but if tax -- corporate tax rates were to be reduced, could you maybe just help us think about how to think about the possible uses of cash in a scenario where additional cash became available in size for you? 
Michael Hartshorn: Sure. So on the original performance, geographically, the strong comp performance was very broad-based. We mentioned California. The Midwest also performed very well. On tax policy, I think it's really too early to comment on the impact and what policy changes ultimately get implemented. 
Operator: The next question is from Roxanne Meyer from MKM Partners. 
Roxanne Meyer: I just have a follow-up question on category performance. Obviously, home and shoes were called out as standouts. I'm just wondering if you could also share other categories that were both above and as well as below the chain average. 
Barbara Rentler: I would say that other businesses fell pretty much closer in line in apparel. In terms of probably some of our weaker performances, we're still struggling in accessories as we're working our way through that. But after that, I would say pretty much most of the businesses fell in line. 
Operator: The next question is from Dana Telsey from Telsey Advisory Group. 
Dana Telsey: Any update on dd's and what you're seeing there and how are you thinking about it for 2017? And also, any update on shrinkage? 
Michael O'Sullivan: Dana, on dd's, as Barbara mentioned in her remarks, dd's continued its strong performance in Q3. The business is on track for another good year. We -- as we have over the last several years, this year, we opened about 20 new dd's stores. And again, we'll be more specific when we give 2017 guidance, but if have to speculate, I would say that you could expect that we're not going to deviate materially from that going forwards. 
Michael Hartshorn: On shrink, we finished our physical inventory, as we do every year, in the third quarter. Shrink results were slightly better than our expectations. That said, shrink was a slight headwind versus last year as we anniversaried better-than-expected results from the prior year. 
Operator: The next question is from Simeon Siegel from Nomura Instinet. 
Simeon Siegel: So if I missed it, but just any thoughts on where you expect the inventory to end the year? And then any color on the long term merch margin opportunity from here? 
Michael Hartshorn: In terms of inventory for the year, I mean, I think we'll continue to operate the business at slightly down, and I don't think our expectation would change for the year-end inventories. 
Michael O'Sullivan: And then in terms of longer-term margin opportunity, at this point, it's really about the sales line. I kind of feel like in terms of the things that have driven our margin improvement over the last several years, those things have included tighter inventory control which has, obviously, driven lower markdowns and improved shortage control. There might be some incremental opportunity in both of those areas, but it will be relatively small. So the real upside opportunity on margin is going to come from the head of planned sales. 
Operator: There are no further questions at this time. I will turn the call back over to Barbara Rentler for closing comments. 
Barbara Rentler: Thank you for joining us today, and for your interest in Ross Stores. Have a great day. 
Operator: This concludes today's conference call. You may now disconnect.